Operator: Good morning. My name is Tishawn, and I will be your conference operator today. At this time, I would like to welcome everyone to the Eaton Vance Corp. First Fiscal Quarter Earnings Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Dan Cataldo, Treasurer. The floor is yours.
Daniel C. Cataldo - Eaton Vance Corp.: Thank you, and good morning. Welcome to our fiscal 2017 first fiscal quarter earnings call and webcast. Here this morning are Tom Faust, Chairman and CEO of Eaton Vance; and Laurie Hylton, our CFO. We'll first comment on the quarter, and then we will take your questions. The full earnings release and charts we will refer to during the call are available on our website, eatonvance.com, under the heading Press Releases. Today's presentation contains forward-looking statements about our business and financial results. The actual results may differ materially from those projected due to risks and uncertainties in our business, including but not limited to those discussed in our SEC filings. These filings, including our 2016 Annual Report and Form 10-K, are available on our website or at request at no charge. We're going to switch things up a bit this morning a bit, because Laurie is on the verge of losing her voice. I will be reading the prepared comments that she normally would present. But before I'll do that, I will turn the call over to Tom.
Thomas E. Faust Jr. - Eaton Vance Corp.: Thanks Dan, and good morning, everyone. Today, Eaton Vance reported adjusted earnings per diluted share of $0.53 for our first quarter of fiscal 2017, this is up 4% from the $0.51 of adjusted earnings per diluted share we reported in the first quarter of fiscal 2016 and down 7% from the $0.57 of adjusted earnings per diluted share we reported for the fourth quarter of last year. As Dan will discuss in more detail, this quarter's earnings results reflect a $6.3 million, sixth sequential increase in sales-based incentive compensation cost in connection with the first quarter's very strong sales results. Had sales-based incentive compensation been flat versus the prior quarter, our earnings for the quarter would have approached the $0.57 per diluted share we earned in the last quarter. Paying our sales people to bring in near-record flows is an investment in the company's future that we'll choose to make every time. We closed the first quarter with consolidated assets under management of $363.7 billion, up 7% from three months earlier, and up 20% from a year-ago. The $27.3 billion quarterly increase in managed assets was driven by $7.3 billion of positive net flows, the $9.9 billion of new managed assets gained in the December 2016 acquisition of the business assets of Calvert Investment Management, and $9.6 billion of appreciation in the value of our managed assets due to favorable market actions during the period. The $7.8 billion of consolidated net inflows we realized in the first quarter are the third highest quarterly flows in company history and equate to a 9% annualized internal growth rate in managed assets. Translated into revenue terms, the company's annualized internal growth rate in management fee revenue was 7% in the quarter, a significant bump from 2% for the prior quarter. This is also the highest quarterly internal management fee growth rate we've achieved to-date over the several years that we've been calculating this measure of our business performance. Because our net new flows and the favorable market actions both progressed over the course of the quarter and because the Calvert transaction did not close until the quarter was two-thirds finished, our revenue rate and, by implication, earnings power at quarter end were significantly higher than we reported for the quarter. Based on managed assets on the books at January 31, our quarterly management fee revenue rate going out of the first quarter, was some $15 million higher than the $305 million in management fee revenue we realized in the quarter. That incremental revenue certainly provides a nice tailwind for our earnings comparisons over the balance of the year. A significant corporate development during the quarter was the purchase of the business assets of Calvert Investment Management on December 30. Founded in 1976 and based in Bethesda, Maryland, Calvert is a recognized leader in responsible investing with $11.9 billion of managed funds and separate account assets under management at the closing. Calvert's managed assets include just over $2 billion in the Calvert Equity Portfolio, which is sub-advised by Eaton Vance affiliate Atlanta Capital and was therefore previously included in our consolidated managed assets. The Calvert Funds are one of the largest and most diversified families of responsibly invested mutual funds, encompassing actively and passively managed equity, fixed income and asset allocation strategies, managed in accordance with the Calvert Principles for Responsible Investment. Responsible investing is the leading trend in asset management, appealing to the growing universe of investors who seek both financial returns and positive societal impact from their investments. As part of Eaton Vance, we see tremendous potential for Calvert to extend its leading position among responsible investment managers. By applying our management and distribution resources and oversight, we believe we can help Calvert become a meaningfully larger, better and more impactful company. We are excited that Calvert is now part of Eaton Vance and I believe that this transaction will prove to be an important milestone in Eaton Vance's history. Returning to flows, our $7.8 billion of consolidated net inflows for the first quarter reflects positive contributions from five of our six reporting categories with equities the outlier at $600 million of net outflows. Most notably, we saw a dramatic turnaround in our floating rate income business, which had $1.7 billion of net inflows in the first quarter versus net outflows of $600 million in the preceding quarter and $1.5 billion in last year's first quarter. The November election results, and rising U.S. economic activity are causing investors to recalibrate their expectations for inflation and interest rates going forward, driving increased demand for floating rate, short duration income, and asset return strategies. Our mutual funds and institutional offerings include not only an array of top performing floating rate bank loan strategies, but also floating rate municipal, ultra-short and short-term income, short-duration government income, short-duration strategic income, short-duration high income, short-duration real return and global macro absolute return strategies that have broad appeal in this environment. Among leading income managers, we believe few if any are better positioned for an environment of rising interest rates than Eaton Vance. Another key contributor to our favorable quarterly flow trend is continued strong demand and rising net inflows for our suite of rules-based separately managed accounts that we offer to retail and high networth investors under the Custom Beta banner. Our Custom Beta lineup includes Parametric core equity strategies, which we report in the portfolio implementation category and EVM-managed municipal bond, and corporate bond laddered portfolios, which were included with fixed income. Compared to index funds and ETFs, our Custom Beta separate account offerings give clients the ability to tailor their exposures to achieve better tax outcome and to implement client-specified responsible investing criteria, factor tilts and portfolio exclusions. Unlike mutual funds and ETFs, Custom Beta separate accounts can pass through harvested tax losses to offset clients' gains on other investments. Transition costs and taxes may also be reduced by funding positions in kind, a benefit not available to mutual fund and ETF investors. In the first quarter, we realized a record $5.4 billion of Custom Beta net inflows consisting of $4.1 billion of Parametric custom core equity inflows, and $1.3 billion net (08:21) into municipal and corporate bond laddered portfolios. Please refer to the last slide in our presentation for more detail on the growth of our Custom Beta business. As discussed in prior calls, although the fees for our Custom Beta offerings are lower than traditional active strategies, the investments we've made in technology plus large scale operations enable us to manage thousands of individual separate accounts on a customized basis at attractive levels of profitability. Another of our growing franchises falling outside of traditional active management is Parametric's Minneapolis based customized exposure management business. This business consists of futures and options-based overlay strategies that Parametric's institutional clients apply to add, remove, or hedge market exposures within their portfolios in a transparent, efficient, and highly customized manner without disrupting underlying investment holdings. At an average fee rate of 5 basis points, this is our lowest fee business, but also one of our strongest growth areas. With the $1.9 billion of net inflows in this quarter, our exposure management business now stands at $74.1 billion in managed assets and has 188 clients. This is up from $32.1 billion and 131 clients at the time Parametric entered this business at the end of 2012 through the acquisition of The Clifton Group. In just over four years, managed assets in this business have grown more than 130%. Looking ahead, we see significant opportunity to further grow our exposure management business, in both the U.S. and internationally, where the potential market is largely untapped. Even in the U.S., most institutional investors of qualifying size, still do not employ exposure management strategies in their portfolios. We're working hard to change that, chipping away at the market opportunity over time. Our leadership in Custom Beta and exposure management position Eaton Vance to grow outside of traditional active management. Success here is not dependent on making the right stock pick or the right call on interest rate movements, but rather on effectively delivering the market exposures specified by the client. While we continue to have confidence in our teams of active managers' ability to beat their peer groups and benchmarks over time, in an environment where passive management continues to grow at the expense of active, it's a great strength of Eaton Vance to have these high growth differentiated franchises in the custom passive space. Turning to investment performance, our returns across different performance measurement periods remain highly competitive. As of the end of January, 70 Eaton Vance, Parametric and Calvert mutual funds were rated four stars or five stars by Morningstar, for at least one class of funds, including 23 funds rated five stars. As measured by total return, at January 31, 58% of our managed fund assets rank in the top quartile of their Morningstar peer groups over the past three years, 43% over five years and 49% over ten years. And 76% of our managed fund assets rank in the top half of their Morningstar peer groups on a three-year basis, 69% over five years and 68% over ten years. Even as the opportunity for active managers continues to narrow, strong performance across our line-up positions Eaton Vance to grow our active business, as we did in the first quarter to the tune of about $1.2 billion. Let me close with an update on our NextShares initiative. As you likely know, NextShares are a new type of fund recently approved by the SEC that combine proprietary active management with the conveniences and potential performance and tax advantages of exchange-traded products. Our NextShares Solutions subsidiary holds patents and other intellectual property rights relating to NextShares, and is seeking to commercialize NextShares by entering into licensing and service agreements with fund companies. Since gaining SEC approval at the end of 2014, we focused on two primary objectives: signing up fund companies to offer NextShares and gaining distribution access through broker dealers. As detailed at NextShares.com, to-date, 14 fund companies have entered into preliminary NextShares license agreements and filed for SEC exemptive relief to offer NextShares. Eight NextShares funds, three from Eaton Vance, three from Waddell & Reed and two Gabelli Funds are now live in the market with funds from two additional sponsors Hartford and Pioneer currently in registration. On the distribution side, we announced last July that UBS intends to offer NextShares funds through its network of 7,100 financial advisors in the U.S. beginning later this year. As part of their NextShares initiative, UBS has reached out to many of their major fund sponsors with whom they work requesting that they consider launching NextShares. UBS's support has certainly been very helpful to us in gaining the attention of fund companies. We continue to have conversations with numerous fund sponsors and other major distributors and expect to have news of further agreements to announce soon. That concludes my prepared remarks. I'll now turn the call back over to Dan.
Daniel C. Cataldo - Eaton Vance Corp.: Thank you. As detailed in the earnings release, we are reporting adjusted earnings per diluted share of $0.53 for the first quarter of fiscal 2017 versus $0.51 for the first quarter of fiscal 2016 and $0.57 for the fourth quarter of fiscal 2016. Adjusted earnings matched (13:50) GAAP earnings in the first quarter of fiscal 2017 and the fourth quarter of fiscal 2016 and trails GAAP earnings by $0.01 per diluted share in the first quarter of fiscal 2016. As you can see in Attachment 2 of our press release, the adjustment from reported GAAP earnings in the first quarter of fiscal 2016 reflects an increase in the estimated redemption value of non-controlling interests in affiliate redeemable at other than fair value. As Tom mentioned, managed asset growth in the first quarter of fiscal 2017 was very strong. As of January 31, ending consolidated managed assets increased 20% over the past year and rose 8% from the prior quarter end, reflecting strong net sales, positive market returns and the impact of the Calvert acquisition at the end of December. Average managed assets in the first quarter of fiscal 2017 increased 12% versus the first quarter of fiscal 2016 and increased 2% from the fourth quarter of fiscal 2016. First quarter revenue increased 7% versus the first quarter of fiscal 2016, trailing the 12% growth in average managed assets through year-over-year declines in our average effective management fee rate. The decline in our average effective management fee rate to 35.3 basis points in the first quarter of fiscal 2017 from 36.7 basis points in the first quarter of fiscal 2016 is primarily the result of a shift in our mix of business with lower fee exposure management, portfolio implementation and our bond laddered businesses experiencing strong net flows and floating rate income in certain other higher fee strategies seeing net outflows in fiscal 2016. On a sequential quarterly basis, however, our average effective management fee rate ticked-up modestly from 35.1 basis points in the fourth quarter of fiscal 2016 to 35.3 basis points in the first quarter of fiscal 2017, primarily reflecting first quarter growth in a number of our higher fee actively managed strategies including floating rate and the impact of the Calvert acquisition. With average fee rates substantially unchanged versus the prior quarter, the 2% increase in average managed assets translated into a 2% sequential growth in management fee revenue. While expected strong growth in lower fee franchises will likely continue to exert pressure on our overall average effective fee rates going forward, growth in floating rate income and other high performing active strategies like what we saw in this first quarter can act as a counterbalance in helping stabilize our average effective fee rates in the future. Performance fees, which are excluded from the calculation of our average effective fee rate, contributed approximately $200,000 in the first quarter of fiscal 2017 or immaterial in the first quarter of fiscal 2016 and contributed $600,000 in the fourth quarter of fiscal 2016. As Tom noted, we saw a significant pick up in our management fee revenue internal growth rate in the first quarter. In the fourth quarter of fiscal 2016, we realized 2% annualized internal management fee revenue growth and 6% annualized internal growth in managed assets, as the revenue contribution from new sales during the quarter modestly exceeded the revenue loss from redemptions and other withdrawals. In the first quarter of fiscal 2017, both the level and the mix of our net flows improved. In the quarter, we generated 7% annualized internal management fee revenue growth and 9% annualized internal asset growth. In terms of new management fee revenue generation, this is a breakout quarter for us, the best we've experienced in several years, and certainly among the strongest internal revenue growth rates now being reported by public asset managers. Our goal is to sustain this type of revenue growth momentum through the balance of fiscal 2017. As Tom mentioned, from a short-term financial perspective, one downside of strong new revenue generation is that you have to pay the sales team to put the assets on the books. The principal reason our first quarter operating income was down 5% from the prior quarter, the margins were lower, is growth in the sales-based compensation. On an overall basis, our compensation expense increased by approximately 8% or $9.9 million from the fourth quarter of fiscal 2016. This reflects a $6.3 million, a 45% increase from the prior quarter in sales-based incentives. Seasonal compensation increases totaling approximately $2.2 million, some of which will reverse as the year progresses. And the compensation impact of the Calvert acquisition at the end of December, which totaled approximately $1.1 million. All else being equal, had sales-based compensation in the first quarter been flat with the prior quarter, our operating income would have been roughly flat as well. Non-compensation distribution related cost including distribution and service fee expenses, and the amortization of deferred sales commissions increased 8% and 5% versus the first quarter of fiscal 2016 and the fourth quarter of fiscal 2016 respectively reflecting higher average managed assets in fund share classes subject to distribution and service fees. Fund related expenses, which consist primarily of sub-advisory fees paid and fund expenses borne on funds for which we earn an all-in fee increased by 19% and 11% versus the first quarter of fiscal 2016 and the fourth quarter of fiscal 2016 respectively, primarily due to the addition of fund related expenses associated with the Calvert funds acquired at the end of December. Other operating expenses were down 1% in the first quarter of fiscal 2017, versus both the first quarter and fourth quarter of fiscal 2016, reflecting continued fiscal discipline around discretionary spending. In terms of specific initiative spending, expenses related to NextShares, which are included in multiple expense categories, totaled approximately $2 million in the first quarter of fiscal 2017, $1.8 million in the first quarter of fiscal 2016, and $2.0 million in the fourth quarter of fiscal 2016. Other investment income and gains on seed capital investments had no impact on earnings per diluted share in the first quarter of fiscal 2017, versus contributing roughly $0.01 per share in both the first and fourth quarters of fiscal 2016. When quantifying the impact of our seed capital investments on earnings each quarter, we take into consideration our pro-rata share of the gains, losses and other investment income earned on investments in sponsored products, where they're accounted for as consolidated funds, separate accounts or equity method investments, as well as the gains and losses recognized on the derivatives used to hedge these investments. We then report the per share impact, net of non-controlling interest expense and income taxes. We continue to hedge the market exposures of our seed capital portfolio to the extent it makes sense to do so, to minimize the effect on quarterly earnings. Our effective tax rate for the first quarter of fiscal 2017 was 37.3%. Excluding the effect of CLO entity earnings and losses, our effective tax rate for the first quarter of fiscal 2016 was – tax rate was 38.4% versus 38.3% in the fourth quarter of fiscal 2016. With among the highest tax rates of corporate tax payers worldwide, Eaton Vance certainly applauds the efforts in Washington to lower the U.S. corporate tax rate and would be a major beneficiary, if those efforts prove successful. Other than the surge in product sales and the associated increases in new revenue generation in sales-based compensation, the most notable financial item in the quarter was the completion of the Calvert transactions on December 30. For the one month period from the closure of the transaction through the end of the quarter, the acquisition of Calvert added $7.6 million to consolidated revenue and contributed $1.5 million to our operating income. As indicated at the time we announced the transaction, the acquisition of the Calvert business is proving immediately accretive to the company's financial results. The successful completion of this transaction at year-end, within 70 days of announcing the deal, is a credit to the hard work of lots of people at Eaton Vance, Calvert, and Calvert's prior owner Ameritas. We expect the Calvert transaction to contribute meaningfully to the company's financial success both near term and over the long term, and are pleased to welcome the Calvert team to Eaton Vance. In other capital management activities, we repurchased 1.3 million shares of non-voting common stock for approximately $53.6 million in the first quarter of fiscal 2017. We finished our first fiscal quarter holding $389 million of cash, cash equivalents and short-term debt securities, and approximately $342.9 million in seed capital investment. Our outstanding debt consists of $215 million of 6.5% senior notes due this October, and $325 million of 3.625% senior notes due in 2023. We also have a $300 million five-year line of credit, which is currently undrawn. This concludes our prepared comments. We'd now like to open the call to questions.
Operator: And your first question comes from the line of Craig Siegenthaler from Credit Suisse. Your line is open.
Craig Siegenthaler - Credit Suisse Securities (USA) LLC (Broker): Thanks. First just a big picture M&A question. Following the Calvert acquisition, can you talk about how you see the operational benefits of size or the advantages of scale with the larger retail distribution platforms? And, then, also maybe just update us on your current appetite for M&A?
Thomas E. Faust Jr. - Eaton Vance Corp.: Okay. Thanks, Craig. I would say probably consistent with what you're hearing from others, there are advantages to scale in gaining and maintaining distribution access. I think a common theme really across the distribution landscape is a sense that there's too much product in the business, and particularly there's too much product on the active management side. I would guess most distributors have far more choice among, for example, Large Cap Value or Large Cap U.S. Growth funds than they really need. And it's not surprising that as we're seeing changes in the distribution landscape, we're seeing some rationalization of product and as fund companies do that, they make those rationalization decisions based on criterion, including performance, fees, and size and scope of relationship, and support in the marketplaces. And certainly, the latter argues in favor of larger companies that have more significant relationships. So, we do think, there is increasingly a benefit to size in gaining and maintaining distribution access. I would also point as another factor that's quite significant and will likely help push consolidation is the significant operational cost that are being imposed on fund companies in connection with regulatory initiatives that either are pending or were recently put in place, including some major new SEC initiatives that were enacted last year. So I think, we'll likely see a growing wave of industry consolidation, I can't comment particularly on Eaton Vance's specific plans or targets that might appeal to us. But I would say that over time, that acquisitions have been an important contributor to our growth and development as a company and we would expect that to continue going forward. For the time being Calvert I would say fills whatever desire we have to fill the acquisition bucket in the near term.
Craig Siegenthaler - Credit Suisse Securities (USA) LLC (Broker): Tom, thanks for the comprehensive response there. I just have a follow-up on fee pricing. It was nice to see the stabilization in fee rate, but can you update us on your overall product pricing strategy, I'm interested to see if you've been cutting fees on products either with straight management fee cuts or maybe through fee waivers and other options like expense cap reductions?
Thomas E. Faust Jr. - Eaton Vance Corp.: Yeah. I would say there's nothing dramatic changing there, but I would say that with the growth in passive and the growing pressure from passive on active managers, we are seeing at least at the margin increased fee pressures in active strategies, and I'm guessing that's not unusual to our business, but it's certainly something that we're seeing more of now than perhaps we've typically seen in recent years.
Craig Siegenthaler - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Operator: And your next question comes from the line of Dan Fannon with Jefferies. Your line is open.
Daniel Thomas Fannon - Jefferies LLC: Thanks. I guess, Dan, on the expenses, I know you talked about the organic revenue growth. If we think about kind of the margin outlook, assuming markets are flat, but I guess, gross sales activity is still, I guess, above average. Is there opportunity for margin expansion or until kind of gross sales start to normalize or slow down, we should see kind of the higher expenses associated with that?
Laurie G. Hylton - Eaton Vance Corp.: Hi, Dan. It's actually Laurie, and thanks to Dan this morning for presenting my prepared comments because obviously, my voice isn't really hanging in there. But as we look ahead, I think we still maintain that there's opportunity for margin expansion. I think that as we saw this quarter, we certainly had a double whammy in terms of pressures on compensation associated – actually it was sort of a triple whammy associated with the increase in the variable cost associated with a very strong growth quarter, in terms of sales, I think the seasonal pressures that we see every first quarter that always pushes up our comp as a percent of revenue, and then the impact of Calvert acquisition. Obviously, to the extent that we're able to maintain that kind of gross sales story as we're moving through the rest of the year, we'll continue to see the pressure on margin only because it's a variable cost on a variable driver. But we do think that there is an opportunity for us to normalize a little bit higher than where we were in the first quarter and I'm hopeful that we'll see that as we move through.
Daniel Thomas Fannon - Jefferies LLC: Okay. Great. That's helpful. And I guess, Tom, lot of talks about products that you're excited about and you're seeing flows into that. I guess, anything kind of on the institutional component that you would call out, that as you see kind of coming through the pipes either in or out in the near-term?
Thomas E. Faust Jr. - Eaton Vance Corp.: Yeah. The biggest thing for us is floating rate and short duration income that I mentioned in my prepared comments that, there has been a reset in expectations about future path of interest rates, that yield is pretty enduring, and we're seeing positive impact of that not only on our retail business, but also institutional where there is a longer sales cycle but we expect also to reap benefits there as well. I would also highlight on the equity side, we're seeing increased interest in our affiliate Hexavest which is a 49% owned company based in Montreal that has a quite exceptional record as a global equity manager and we're seeing an uptick in demand for their strategies as well.
Daniel Thomas Fannon - Jefferies LLC: Great. Thank you.
Operator: And your next question comes from the line of Patrick Davitt with Autonomous. Your line is open.
Patrick Davitt - Autonomous Research US LP: Hey, good morning. Thank you. A follow-up on Dan's question on the sales comp. As we track your flows through the quarter, is there any one kind of hype that we should look to for driving that being elevated than others or is it just the headline sales number?
Daniel C. Cataldo - Eaton Vance Corp.: I think, one piece of data that you see and it would be some indication as to the direction of gross sales would be the (31:00) sales information that you see quarterly. Now that's a net number, but strong net numbers are going to be driven by strong gross numbers. So that's certainly one piece of data you could refer to.
Patrick Davitt - Autonomous Research US LP: Okay. Is there any one, I guess, specific product for asset class that would have a higher sales rate than others or no?
Daniel C. Cataldo - Eaton Vance Corp.: Generally, not among the different funds. There are different comp levels for different funds. But it's not going to make that much of a difference that you would need to know that in looking at that data.
Patrick Davitt - Autonomous Research US LP: Great. Thanks. Then my last question is on the bank loan side, obviously, some nice improvement there, but when we compare it to the industry data and how you kind of tracked through the taper tantrum you can kind of consistently put up a much higher number and had a couple of quarters of $4 billion plus when the industry data kind of tracked where we are now. Is there something that's changed since then why maybe tracking a little bit lower than you did during that period for – is it having to do (32:21) with more the mix of retail versus institutional?
Thomas E. Faust Jr. - Eaton Vance Corp.: The business, as Dan has (32:26) now is pretty lumpy, the institutional business and program reallocations away from or toward bank loans will tend to skew those numbers. We did underneath a very strong quarter for bank loans have at least one major institutional loss and a fairly important platform reallocation away from the asset class. And so, there is always noise in there. We feel like on an overall basis that we have a highly competitive bank loan line in terms of performance and fees, and reputation and everything else and certainly expect to get our fair share of flows this cycle, but on a correlated quarter basis that can jump around and be skewed by actions of large clients.
Patrick Davitt - Autonomous Research US LP: Okay. That's helpful. Thank you.
Operator: And your next question comes from the line of Bill Katz with Citi. Your line is open.
William Raymond Katz - Citigroup Global Markets, Inc. (Broker): Okay. Thank you very much for taking the questions this morning. Just wanted to sort of go back to translating the premium – sort of very good revenue and organic growth, and maybe earnings leverage. I appreciate the comments on the margin stabilizing a little bit. If you sort of adjust for what you know in terms of the unusually strong stock-based comp, sell-side comps shrink (33:52) in this quarter, you said your earnings will be about flattish quarter-on-quarter even with the acquisition of Calvert adding a little bit to the bottom-line. So, Tom, as you think ahead (34:03) margin maybe picking up, and fuel rates heading (34:08) little bit lower, but is there an opportunity to actually get earnings leverage moving in sort of a breakout as well, what's your sense there, what are the keys there?
Thomas E. Faust Jr. - Eaton Vance Corp.: Bill, the key I would look to, I made the comment that our revenue rate at the end of the quarter just looking at management fee revenue was up $15 million, or roughly 5% higher than we recorded for the quarter as a whole, and that's pretty significant. So, there will be some incremental cost in connection with that $15 million of incremental revenues, but frankly not a lot. So, there would be a whole lot of incremental leverage associated with that kind of growth in revenues that, and this is already on the books, this is stuff that was here at the end of January, that was not here on average and not reflected in the quarterly results. I would say similarly that we've had nice flows and uptick in revenues, just in the three weeks or so that we've been in February. So, as I look at drivers of earnings power today as we sit here versus what we recorded in the first quarter, that's going to be the biggest swing factor is change in revenue and just as a reminder that reflects favorable market action that continues, it reflects positive net flows that continues, and it affects – it will reflect in the second quarter, a full three months of positive contribution from the Calvert transaction versus only one-month of contribution in the first quarter. So, we certainly would expect to see uptick in earnings and margins as the year progresses, unless things – obviously unless something happens in the business that we don't anticipate. But as we sit here today, we know revenues are trending higher with the vast majority of that flowing through as higher margins and higher pre-tax income.
William Raymond Katz - Citigroup Global Markets, Inc. (Broker): Okay. Thank you. And then just sort of flipping back to NextShares, thank you for your update there, maybe qualitatively, I'm sure (36:37), but could you give us a sense of how that conversations are progressing with some other distributors beyond UBS at this point in time? And what maybe the type of (36:40) conversation big or small or sort of more of a online versus more traditional type of manager, and I guess, you've seen some of the players coming out with alternative pricing in the mutual fund business, I think, (36:50) pricing? Are you seeing any sort of pressure on pricing of your mutual fund business as maybe an alternative to reduce a little bit of white space opportunity, and what are you hearing from sort of your discussions with some of the manufacturers?
Thomas E. Faust Jr. - Eaton Vance Corp.: I think, I got all that, but let me make sure. So, first on NextShares and kind of where that fits in with the pricing on mutual funds. There is an important linkage there that I think as probably most people on the call understand there is a significant change that seems to be happening, likely happening in connection with either current or possibly delayed implementation of the DOL fiduciary rule, which is T shares, Clean shares, other types of fund pricing. How NextShares fits into that is that we have or anyone has with NextShares the ability to offer those with pricing determined by the individual broker dealer, it's subject to – NextShares are subject to what's called 22(d) relief which also applies to ETFs. So NextShares will be the only proprietary actively managed strategies operating on the basis where broker dealer A can have their own pricing schedule, separate from broker dealer B, all operating in the same basic structure, and not subject to the somewhat narrow terms of that Clean shares relief. So that's pretty much a part of the conversation with NextShares, and I would say some of the delay we've had and frankly frustration we've experienced with the pace of NextShares uptake has been related to this uncertainty about pricing trends in the industry and where NextShares fits into that. So we think on balance, those things are helpful, change is helpful, uncertainty is not helpful, because uncertainty interferes with decision making and we're looking for broker dealers and fund sponsors to commit to NextShares as an important part of their future product line up and pricing. In terms of specific conversations with broker dealers, obviously we can't comment on that. I would say that we continue to have advanced discussions with all types of major broker dealers. The main act for us currently is UBS, which announced last summer that they intend to offer NextShares and have really followed through on making it clear to the marketplace that this is an important initiative for them and they're hoping to do a broad launch of NextShares through the end of the year or by the end of the year. We now have as I mentioned, eight NextShares funds in the marketplace and with UBS's support, we certainly expect to have a multiple of that by the end of the year.
William Raymond Katz - Citigroup Global Markets, Inc. (Broker): Okay. Thank you for taking all my questions this morning.
Operator: And your next question comes from the line of Michael Carrier with Bank of America. Your line is open.
Jeffrey Ambrosi - Bank of America Merrill Lynch: Hi, thanks. This is actually Jeff Ambrosi filling in for Mike. Most of our questions have been asked, but maybe a quick one on buybacks. Could you remind us what your strategy is with respect to repurchases, I guess particularly given the relatively pricing multiple that you guys trade at?
Laurie G. Hylton - Eaton Vance Corp.: Yeah. I think that our strategy is that we sort of tier our application of our capital as we move through each quarter and it's sort of a series of independent decisions. But our first priority is always to use our cash to actually grow the company organically. And to the extent that we have opportunities like we saw with Calvert, we're first going to deploy our resources in those types of directions and we'll continue to look for those types of opportunities. Second is to maintain our dividend; we feel strongly about our position as a solid dividend company, and we want to make sure that we don't do anything that jeopardizes that. And then third to the extent that we see an opportunity and we feel like we've got cash flow that makes sense for us to be in the market, we are in the market. To the extent that we see an opportunity to lean in, we lean in. If we look at the stock price and we think that we need to think about it a little bit more carefully, we might pull back. But I think the foremost sort of consideration is always can we actually deploy our resources to actually grow the company, and I think that we obviously did that this quarter and are really pleased with what we did with Calvert.
Jeffrey Ambrosi - Bank of America Merrill Lynch: Okay. Thanks. That's helpful. And then I guess just one on the portfolio implementation, exposure management businesses. And just given the incredible growth in both of those, I was just wondering if you could talk about the competition there and who you guys see as I guess the main competitor in those products?
Thomas E. Faust Jr. - Eaton Vance Corp.: It varies by the different businesses. In exposure management, the other significant player in that is Russell Investments who has a competitive product offering. There are some other entities, primarily coming out of the custody bank world that either have currently or have in the past competed in that marketplace, but it's a relatively small number of competitors. For the larger institutions, we also compete against the potential of doing it in-house, which is an option that at the high-end would certainly be competitive with what we do, and maybe the most significant competitor is that. And certainly the other competitor is not doing this at all. This is a voluntary thing where we have to sell people on the concept that by managing cash and managing exposures more efficiently and more tightly, they can more than make up for the incremental cost of employing the service, which certainly the longevity of the client relationships that we've had suggested that's a pretty easy sale for people that know and understand this product. On the Custom Beta side, the competition varies a little bit. We have one group of competitors on the laddered muni side or laddered corporate side, firms like Nuveen are active players in the retail managed account business. In terms of Parametric's custom core strategy, probably the biggest competitor was a firm based in Sausalito called Aperio, which has a competitive offering. But we think a unique advantage that accrues to us is having this comprehensive capability that goes across equity and income and also with the addition of Calvert now into Eaton Vance gives us the ability to do things in terms of responsibly separately managed accounts and associated customization and impact activity that we can do and impact reporting that we can do that really sets us apart from everyone else that's active in this marketplace. But the key for us in growing that business has been first broadening distribution to encompass a broader range of strategies offered through more intermediaries; and second, really filling out the product line and enhancing the service offering over time. All these things would require a pretty significant investment in technology and infrastructure to accommodate what are literally tens of thousands of separate accounts that we manage in this business.
Jeffrey Ambrosi - Bank of America Merrill Lynch: Okay, great. Thanks. That was helpful. Thanks for taking our questions.
Thomas E. Faust Jr. - Eaton Vance Corp.: Thank you.
Operator: And your next question comes from the line of Ken Worthington with JPMorgan. Your line is open.
William V. Cuddy - JPMorgan Securities LLC: Good morning. This is Will Cuddy filling in for Ken. Thank you for taking the questions today. So the high networth separate account channel had a (45:28) for net inflows. Can you please talk a little bit more about where you're seeing the most product demand in that channel? And do you have an estimate of how much of the inflows are coming from Custom Beta strategies?
Thomas E. Faust Jr. - Eaton Vance Corp.: I don't have an estimate. The vast majority of that would be Custom Beta. That's really the growth driver of our high networth business at the moment. Just as a reminder, Parametric has a separate sales force for the high networth channel that calls on family offices, multi-family offices, and high-end registered investment advisors. And that's the primary driver of growth in that business. Eaton Vance also has, what we call, an Investment Counsel business that's experiencing modest growth currently, but the primary grower within that high networth category is through the Parametric wealth management channel and specifically the Custom Beta products.
Laurie G. Hylton - Eaton Vance Corp.: Yeah. Between the tax managed and the non-tax managed version of custom core, you've got – what Dan? – close to $3 billion...
Daniel C. Cataldo - Eaton Vance Corp.: Yeah.
Laurie G. Hylton - Eaton Vance Corp.: ...of net inflows in this quarter? And that was all coming through the high networth channel.
William V. Cuddy - JPMorgan Securities LLC: Great. Thank you. And following up on that, there have been a number of proposals for tax reform in the U.S. What if any could become (46:49) the challenges and opportunities for your tax managed business if personal tax rates go lower?
Thomas E. Faust Jr. - Eaton Vance Corp.: I think a lot to be seen in the details of those proposals. If the only change is a lowering of tax rates, I think that wouldn't make a lot of difference in this business. Obviously, if tax rates get cut in half that's one thing. But if the tax rates goes from 39.6% to I believe the proposal is 33%, maybe that would have a marginal impact, but I don't think it's a huge impact on our business. If there are other changes of a structural nature that potentially could have a bigger impact. So we're watching carefully to see what happens with tax reform. Like us, a manifold effect on our – like many, like probably most corporations have a large and great effect on our business. There's an overwhelming positive that would come from a lowering of corporate tax rates just because Eaton Vance pays such a high tax rate currently. But in terms of impact on our business, I know the asset management industry is concerned about the possibility of things like a change in the tax treatment of municipal bonds, changes in incentives for retirement of employee, employer-sponsored retirement plans, all those things could be our potential negatives that we're going to have to see how they play out. But there's nothing out there specifically that concerns us related to our Custom Beta business, but we are monitoring it closely.
William V. Cuddy - JPMorgan Securities LLC: Okay. Thank you. And those are very helpful.
Operator: And that is all the time we have for questions today. I will now turn the call back over to Dan Cataldo.
Daniel C. Cataldo - Eaton Vance Corp.: Okay, great. And thank you all for joining us this morning, and we look forward to reporting back to you after the close of our fiscal second quarter on April 30. Thank you. Bye.
Operator: And this concludes today's conference call and webcast. You may now disconnect.